Operator: Good afternoon ladies and gentlemen and welcome to the first quarter 2010 NaviSite earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host for today’s, James Pluntze, Chief Financial Officer; please proceed.
James Pluntze : Good afternoon, welcome to NaviSite’s first quarter fiscal year 2010 earnings conference call. Arthur Becker NaviSite’s Chief Executive Officer is also with me today. We will be discussing our financial results and sharing some key business highlights from our first quarter which ended October 31, 2009. Before we get started, please be aware that the information we are about to discuss includes forward-looking statements for the purposes of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Such statements involve risk and uncertainties. The company’s actual results could differ materially from those discussed in this call. Factors that could contribute to such differences include but are not limited to those items noted and included in the company’s SEC filings. The forward-looking information that is provided by the company in this call represents the company’s outlook as of today and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and other developments may cause the company’s outlook to change from that which is discussed today. We will also discuss NaviSite’s adjusted EBITDA performance for the first quarter of fiscal year 2010. Please note that adjusted EBITDA is not a recognized measure for financial statement presentation under the United State’s generally accepted accounting principles. The company believes that the non-GAAP measures of adjusted EBITDA provides investors with a useful supplemental measure of the company’s actual and expected operating and financial performance by excluding the impact of interests, taxes, depreciation and amortization. The company also excludes impairment costs, stock based compensation, severance, and other non-operational charges as such items are considered to be non-operational in nature. Adjusted EBITDA does not have any standard definition and therefore may not be comparable to similar measures presented by other reporting companies. Management uses adjusted EBITDA to assist in evaluating the company’s actual and expected operating and financial performance. These non-GAAP results should not be evaluated in isolation from or as a substitute for the company’s financial results prepared in accordance with US GAAP. A table reconciling the company’s net loss as reported to adjusted EBTIDA is included in the condensed consolidated financial statements in NaviSite’s first quarter fiscal year 2010 financial results press release. Now, I’d like to turn the call back over to Arthur Becker, NaviSite’s Chief Executive Officer.
Arthur Becker : Thank you James, and good afternoon everyone. We are pleased to report our results for first quarter for fiscal year 2010. I’d like to start with the financial results, discuss the operating results for the quarter, discuss some of the actions we have taken and are taking to position the company in the enterprise space. As reported in our press release earlier today revenue for the first quarter of fiscal year 2010 which ended on October 31, was $36.8 million. Revenue this quarter represents a decrease of 8% compared to $40.2 million reported in the same quarter last year and is down slightly compared with the $36.9 million recorded in the fourth quarter of fiscal year 2009. The decline in both year over year and sequential revenue is the result of the planned reduction in our professional services practice as we have discussed in our previous quarterly calls. Recurring revenue from our hosting application management and cloud services business was $35.0 million for the first quarter. Excluding the impact from the Los Angeles data center which we did not renew in the third quarter of last year, recurring revenue increased 1% year over year and 1% sequentially. The consistent sequential revenue is mainly the result of lower overall bookings, and modestly slower installations of some of our more complex enterprise hosting bookings from the first half of our fiscal year. Our professional services revenue was $1.3 million for the first quarter. The $1.3 million for this first quarter represent a decline of approximately $2.8 million during the first quarter of fiscal year 2010 from the $4.1 million recorded in the same period last year and down from the $1.7 million recorded in the fourth quarter of fiscal year 2009. This decline reflects our strategic decision to focus our offerings on our core enterprise recurring revenue business and to integrate the professional services unit as part of the lifecycle management approach to our application services offering. Adjusted EBITDA for the first quarter was $8.8million representing a year over year increase of 2% and flat sequentially. Moving on to a discussion of some of our key business metrics and operational highlights, we recorded bookings of approximately $400,000 of new monthly recurring revenue, MRR, during the first quarter, a decrease of 50% from the $800,000 booked in fourth quarter of fiscal year 2009 and a decrease by 33% from the $550,000 booked in the first quarter. Despite this slow start we do see the pace of our bookings accelerating for fiscal year 2010 and do anticipate that many of the large opportunities with our targeted enterprise customers will begin to close during the coming quarters. In the first quarter 28% of our MRR bookings came from new customers and 72% came from the existing installed base representing an approximate MRR booking per new customer of $3,512 compared to MRR bookings of approximately $4,754 per customer for our existing base. Average contract length for the bookings in the first quarter was 29 months compared to 27 months for the prior quarter and 23 months for the first quarter of fiscal year 2009. NaviSite signed contracts with 29 new customers this quarter as compared to 39 customers last quarter as we continued to attract a diverse set of new customers because of our ability to provide a broad range of services. None of the 29 new customers this year were large enterprise transactions, they may be enterprise customers, but they were not large enterprise transactions which we define as those transactions that contribute an MRR that is larger than $25,000 per month. I would like to take this opportunity to mention a few of the key deals we closed in the first quarter. In contrast to our relatively low bookings performance this past quarter we struck several significant new contracts with strategic enterprise customers. First I’m proud to reference our new service agreement with Harvard University encompassing multiple integrated services including managed Microsoft Exchange, complex managed services backup, and security services. In addition NaviSite has signed a strategic software as a service hosting partnership with independent software vendor, Work Place Systems, for their US based customers. This is already resulted in a significant first customer win with a very large US retailer. We have also significantly expanded our partnership with Opera, a leading provider of web browser, widget, and server solutions to provide hosting solutions for their customer base. We are also pleased with the number of renewals this quarter which is in line with the core strategy to continue expanding our relationships with our existing customers. For example Sovereign Bank, one of the largest banks in North Eastern US has renewed its managed loss and services agreement with NaviSite. Sovereign has been a NaviSite customer for over seven years. Open Link Financial, a software manufacturer and ASP that makes a software suite for front to back office trading solutions recently upgraded and extended their services with NaviSite. And we recently renewed a significant managed services contract with DMSI, the building product distribution industry’s leading business management accounting software and technology partner. In there we’re supporting the delivery of DMSI solutions and a software as a service model. DMSI has been a customer with NaviSite for over six years. The expansion of our business with these enterprise companies and particularly within the vertical of the technology service providers, is a key sweet spot for us and is solid evidence of our traction within larger enterprises driven by our ability to provide an integrated solution, comprising cloud enabled enterprise class hosting, a broad range of services for hosted applications, and our expertise in providing simple IT solutions to complex challenges at a considerably lower cost of ownership. NaviSite continues as well to expand our footprint in the SMB segment with a particular focus on attracting businesses that desire a robust and enterprise class solution. In addition NaviSite’s extensive portfolio enables these customers to address various industry specific regulatory and compliance requirements. InMobi, one of the fastest growing global mobile advertising networks, selected NaviSite’s managed hosting services to expand its reach into the North American mobile advertising space. Next IT, a leading provider of voice recognition software selected NaviSite to host their core SaaS offering. Payliance, a leader in the payment processing space specializing in ACH and check 21 processing, risk management and recovery solutions partnered with NaviSite to host the core customer facing transaction processing software that powers their business. XOS Technologies, the sports technology leader offering comprehensive cutting edge technology solutions that help teams and leagues integrate video, data, and fan management selected NaviSite as their hosting provider for the disaster recovery needs. I’d like to take this minute now to turn the call back to our Chief Financial Officer, James Pluntze, for a more detailed look at our financial performance in the first quarter.
James Pluntze : Thanks Arthur, as Arthur previously mentioned, revenue for the first quarter of fiscal year 2010 was $36.8 million, down slightly from the fourth quarter of fiscal 2009 and down 8% over the first quarter of fiscal year 2009. The revenue decline as we’ve discussed is related to the expected and announced lower revenue from our professional services business throughout the fiscal year 2009 and which is down 68% from the same quarter Lost year and down 24% from the prior quarter. Recurring revenue from hosting application management and cloud services was $35 million for the first quarter and represented 95% of our revenue for the quarter. Hosting revenue as we mentioned declined 1% over the prior year which included $0.8 million from our Los Angeles data center. Including the impact from the Los Angeles data center, recurring revenue increased 1% year over year and was up 1% sequentially. Revenue this quarter included approximately $500,000 from our AJE business. As stated in our last earnings call NaviSite will now be including the results of AJE in our consolidated results from continuing operations. NaviSite generated gross profit of $12.6 million or 34% of revenue for the first quarter of fiscal year 2010 as compared to $12.4 million or 31% of revenue for the same quarter of fiscal year 2009 and $12.9 million or 35% of revenue for the fourth quarter of fiscal year 2009. Cash gross profit which excludes depreciation, amortization, and non-cash stock compensation was 50% for the first quarter of fiscal year 2010, up from 46% for the same quarter in fiscal year 2009. The increase in gross profit and cash gross profit for the first quarter compared to the prior year continues to reflect the decline of our lower profit professional services business. We recorded income from operations of $1.9 million for the first quarter of fiscal year 2010 representing a 57% increase from the $500,000 of income from operations recorded in the first quarter of fiscal year 2009. The increase in income from operations in the first quarter compared to the prior year reflect the cost saving initiatives that have resulted in improving gross margins and reduced overall operating expense within selling and G&A functions. Net loss attributable to common shareholders for the first quarter was $3.3 million or a loss of $0.09 per share compared to a similar loss of $3.3 million and $0.09 a share for the first quarter of fiscal year 2009. For the first quarter NaviSite recorded $8.8 million of adjusted EBITDA representing a 2% year over year increase and was consistent with the $8.8 million of adjusted EBITDA reported in the fourth quarter of fiscal year 2009. The increase in fiscal year 2010 adjusted EBITDA over the prior year was the result of the cost savings that improved our gross margin and reduced overall operating expense as previously discussed. Customer churn as defined as the percentage of loss of a customer or a reduction in the customers’ monthly revenue run rate decreased during the quarter to approximately 1.3% per month compared to 1.4% per month in the first quarter of fiscal year 2009 and down from 1.7% per month for the fourth quarter of fiscal year 2009. As we talked about last quarter the churn has increased during the fourth quarter from our historical range mainly due to the loss of two large customers during the quarter and as we expected, churn during the first quarter of fiscal year 2010 returned to a lower and more normal level. Cash generated from operating activities was $4.6 million for the quarter and was up 12% from the $4.1 million reported in the fourth quarter of fiscal year 2009 and down from the $9.5 million generated in the first quarter of fiscal year 2009. The first quarter of 2009 included the return of a facility deposit of $5 million and net of this event cash generated from operating activities this quarter increased about 2% over the first quarter of fiscal year 2009. Operating cash generation for both the quarter, for both, for this quarter increased due to strong collection efforts which reduced our DSO or days sales outstanding to 37 days in the first quarter of fiscal year 2010 down from 40 days reported in the prior quarter and down from 46 days in the first quarter of fiscal year 2009. During the first quarter we invested approximately $4 million in capital expenditures. This is slightly higher than the $3.7 million reported in the first quarter of fiscal year 2009. The company’s cash balance at the end of the quarter was $4.2 million which was a decrease from the $10.5 million reported at the end of the fourth quarter. The decrease was mainly the result of repayment of $7 million on our revolver offset by continued strong operating cash flow. We had $3 million outstanding on our revolver at the end of the first quarter after the repayment of the $7 million. With that I’ll turn the call back over to you Arthur.
Arthur Becker : Thank you James, at this point I’d like to update our investors on a few topics mentioned in prior calls and to update investors on our strategic technology initiative. A quick update on the status of our previously mentioned asset sales, as we have stated we have retained investment bankers to solicit interest in certain of our non-strategic data centers in the US. This process is progressing and we are currently negotiating the documentation for the sale of certain of these data center assets and the customers within those data centers. As mentioned during our call in October, we anticipate that we will close one or more of these transactions before the end of this fiscal second quarter. As mentioned on our last call NaviSite launched NaviCloud managed cloud services in October. As a reminder NaviCloud is a fully managed utility infrastructure offering designed to leverage the benefits of cloud computing in our application management expertise to provide the industry’s first enterprise cloud for production applications. Based on Cisco’s unified computing system and VMware virtualization we are in the final stages of deployment and our [and] over assets in San Jose, California data centers. We plan to add a third managed cloud node in London in the first half of 2010. Connected with point to point gig e connections for built in business continuity and disaster recovery, these three cloud locations will provide the foundation for NaviSite’s strategic focus on advancing the benefits of cloud services in new and innovative ways. With our objective of production level services and a unique consumption based billing model we believe that our NaviCloud MCS offering is highly differentiated in a market today largely comprised of generic multipurpose cloud competitors. We have had strong interest in and demand for these managed cloud services and are confident that we will lead the market for enterprise cloud services. Going beyond the infrastructure we have added a layer of intellectual property that we believe stands alone in setting the bar in enterprise cloud computing. We are excited about what NaviCloud means for our future and are committed to being a technology leader in managed cloud services. As stated last quarter NaviSite will not be issuing guidance for the second quarter or for the fiscal year at this time. We intend to continue this practice until we conclude the sale of the data center assets. On behalf of NaviSite I would like to thank you for your attendance today and now I’d like to open up the phone lines to questions from our listeners.
Operator: There are no questions at this time; I would like to turn it back over to management for any additional or closing comments.
Arthur Becker : Thank you everyone for attending the call.